Operator: Thank you for standing by, and welcome to the Ontrak Health's First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, today's program is being recorded. And now, I'd like to introduce your host for today's program, Ryan Halsted, Investor Relations. Please go ahead, sir.
Ryan Halsted: Thank you, operator, and thank you all for participating in today's call. Joining the call are Brandon LaVerne, Chief Executive Officer; Mary Louise Osborne, President and Chief Commercial Officer; and James Park, Chief Financial Officer. Earlier today, Ontrak released financial results for the quarter ended March 31, 2025. A copy of the press release is available on the Company's website. Before we begin, I would like to make the following remarks concerning forward-looking statements. All statements in this conference call other than historical facts are forward-looking statements. The words anticipate, believes, estimates, expects, intends, guidance, confidence, targets, projects and some other expressions typically are used to identify forward-looking statements. These forward-looking statements are not guarantees of future performance but may involve and are subject to certain risks and uncertainties. Other factors that may affect Ontrak's business, financial condition and other operating results, which include, but are not limited to, the risk factors described in the Risk Factors section of the Form 10-K and Form 10-Q as filed with the SEC. Therefore, actual outcomes and results may differ materially from those expressed or implied by these forward-looking statements. Ontrak expressly disclaims any intent or obligation to update these forward-looking statements. With that, I'd like to turn the call over to Brandon.
Brandon LaVerne: Thank you, Ryan, and thank you, everyone, for joining our call today. As we begin 2025, I'm pleased to report that Ontrak continues to build on the significant momentum we established throughout 2024. Our progress with customers is clearly demonstrated by the growth in our outreach pool, which has expanded substantially over the past year. This includes implementation with new customers, Intermountain Health for our WholeHealth+ in the Medicare Advantage space and with the Northeast regional plan across multiple lines of business as well as the expansion of our Engage solution with existing partners. Looking ahead, we remain optimistic about the conversion of prospective customers at the bottom of our sales funnel, particularly the large Midwestern Medicaid plan. We have achieved state Medicaid provider approval in order to serve this plan's members, if we sign an agreement with the plan. The successful conversion of this opportunity, along with successful conversions of other active opportunities provides us a path to doubling our run rate revenue in 2025 as compared to 2024. The enrollment numbers for these new implementations are already exceeding our expectations. At the end of Q1, we reached a significant milestone with over 3,165 total enrolled members, including more than 1,150 members in our Engage program. Total enrolled members nearly doubled year-over-year, serving as validation for the effectiveness of our enhanced multi-solution approach. The success of our Engage program highlights our ability to tailor solutions that address a larger percentage of our customers' member populations. This solution has significantly expanded our market reach by enabling us to serve members who may not require our WholeHealth+ program, but still benefit from structured behavioral health support. The substantial growth in our enrolled member base since the launch of our Engage program in the second quarter last year, paired with consistently high enrollment conversion rates among new customers since the launch, provides compelling validation that our expanded solution portfolio is addressing critical gaps in the behavioral health care landscape. I'm particularly pleased with the continued evolution of our business model, supporting health plans. We've made significant progress with our provider model strategy, which offers greater flexibility to support health plans across multiple lines of business. As previously announced, we are enrolled as a Medicaid provider in two states, registered in several others and working to increase our footprint to optimize our opportunities with prospects in the middle and bottom of our sales funnel. This structure gives us access to medical spend budgets rather than more restricted administrative cost pools of our payer prospects. Our recent certification by the National Committee of Quality Assurance as a Credentials Verification Organization through April 2027 serves as a key market differentiator. This prestigious recognition achieved through a rigorous voluntary review process embodies Ontrak's commitment to trust, transparency and operational excellence, which is particularly crucial for government programs with stringent quality standards. We are currently working towards an additional NCQA accreditation and case management, which we are targeting achievement in early 2026. Today, our teams are more than twice as productive as they were in 2021, the last time we reached this 3,000-plus member enrollment milestone. Our strategic investments in technology infrastructure, particularly in our AI-driven advanced engagement system has fundamentally transformed how our care teams operate by automating routine tasks, prioritizing high-impact interventions through our next best action engine and leveraging AI to summarize completed calls. The result is a workforce operating at unprecedented productivity levels while maintaining our focus on the human elements of care delivery that drive meaningful outcomes. I would now like to turn the call over to our President and Chief Commercial Officer, Mary Louise Osborne.
Mary Louise Osborne: Thank you, Brandon. I'm pleased to provide an update on our pipeline progress. Starting with our bottom-of-funnel opportunities, as Brandon mentioned, we continue to work towards executing a statement of work with a large Midwestern Medicaid plan for their 300,000 Medicaid members. This represents a significant revenue opportunity and would strengthen our presence in a key regional market. We are working diligently to advance this opportunity through what we believe are the final stages of the sales process. In addition, we are awaiting feedback on four other health plan financial proposals currently being reviewed who are located in various states in the Midwest and Southeast regions. All of these health plans have been engaged in strategic discussions and have acknowledged the critical need for more intensive behavior health support for their Medicare Advantage, Medicaid and commercial populations. Moving to the mid-funnel. We continue to see positive momentum with several prospects. We're encouraged by the level of interest from these potential partners, and we look forward to providing more details in the coming months as these discussions progress. The overall reaction from prospects to our enhanced solution suite has been extremely positive. Health plans are responding favorably to our AI-powered, advanced engagement system and the comprehensive approach we take to address behavioral, physical and social health needs. Our ability to demonstrate ROI and improved health outcomes is resonating strongly, particularly in today's challenging market environment where plans are seeking proven solutions that can deliver measurable value. Our partnerships with Intermountain Health for Medicare Advantage members and our Northeast regional plan for Medicaid, HARP and commercial populations, provide powerful reference points for prospective customers. These relationships highlight the versatility of our platform across different plan types and member populations. And the early success we're seeing with these customers strengthens our value proposition. The Engage solution, which we launched last year, is proving to be an effective complement to WholeHealth+ and is allowing us to serve a broader segment of our customers' member populations. By offering a targeted approach to intervention based on member needs, we're helping plans address the full spectrum of behavioral health challenges within their population. As we move forward, we remain focused on converting our strong pipeline into signed contracts while continuing to nurture relationships with existing customers to drive expansions. The market need, for effective behavioral health solutions that can reduce medical costs and improve health outcomes, has never been greater, and Ontrak is uniquely positioned to address this need. With that, I'll turn the call over to our Chief Financial Officer, James Park.
James Park: Thanks, Mary Louise. In Q1, our revenue was $2 million, reflecting a 25% decrease compared to the same period last year. The decrease was due to the loss of a customer whose members disenrolled as of the end of 2024, partially offset by new customers and expansions of existing customers during the year. We began the quarter with 2,125 members and concluded with 3,165 resulting in a simple average of 2,645, which average includes 1,152 members that are part of our Engage program. The 3,165 members at the end of the quarter is the most enrolled members since Q4 of 2021. We're able to serve these members with less than half of the employees we had in Q4 of 2021, which speaks to the significant efficiencies and operational improvements we have achieved as an organization. Our quarterly revenue per health plan enrolled member per month average approximately $254. This represents a decrease from $500 in Q4 of 2024 and a decrease from $504 in Q1 of 2024. The decrease in Q1 of 2025 compared to Q4 of 2024, primarily reflects the lost customer and shift in the mix of members with a larger percentage of members enrolled in our Engage program compared to the prior period. The revenue per member in our Engage program is lower than our WholeHealth+ program. Although our revenue per enrolled member was lower in the current period, members in our Engage program represent members that did not provide revenue in the past, significantly expanding our market opportunity. Regarding our Q1 membership data, we added 2,039 new members during the quarter, which is the highest new members enrolled since Q3 of 2021. This figure contrasts with 1,641 new enrollments in Q4 of 2024 and 925 in Q1 of 2024. Dividing Q4 gross enrollments by outreach pool, which averaged 27,204 for the quarter annualizes to a 30% enrollment rate compared to 50% enrollment rate in Q4 of 2024 and 108% in Q1 of 2024. The decrease in enrollment rate is due to the increase in our outreach pool during Q1 2025, primarily driven by the Engage outreach pool. In the current quarter, our average monthly disenrollment rate stood at 10% compared to 19% in Q4 of 2024 and 22% in Q1 of 2024. The disenrollment rate was lower in the current quarter compared to prior periods due to the disenrollment of members in each of those periods of the customers who gave notice not to continue our service at the end of December 2024 and February 2024. Additionally, we saw 184 members graduate from our program this quarter. This graduation rate represents approximately 9% of the members enrolled at the quarter start, slightly lower than previous periods. Taking into account new enrollments, dis-enrollments and graduations, we achieved a net increase of 1,040 members during the quarter. For Q1, we reported gross margin of 37%. This represents a decrease from 61% in Q4 of 2024 and 63.6% in Q1 of last year, primarily driven by the decrease in revenue from the lost customer and its members at the end of 2024 as well as the mix shift of members in our Engage program. Looking ahead, we anticipate our gross margin to maintain at its current level and increase as a percentage of our members enrolled in our WholeHealth+ increases from our prospects in our pipeline. Additionally, in periods when we have new customers launching, we could see decreases in margin during that period. This is due to our practice of proactively high member-facing employees in preparation for these expansions. Turning to the balance sheet and cash flow statement. Our cash flow from operations for Q1 was negative $2.7 million, which compares to negative $3.3 million in the same period last year and a negative $4.3 million in Q4 of 2024. As of quarter end, our cash reserves stood at $4.1 million. This represents a decrease from the $5.7 million we had on hand at the end of 2024. During the quarter, we borrowed $1.5 million under our Keep Well agreement. And subsequent to quarter end, we borrowed another $0.5 million, leaving $5 million available for future draws subject to discretion of the lender. This remaining $5 million as well as an additional $5 million has been committed in a financing agreement we announced earlier today. In aggregate, this agreement provides for up to $10 million of additional financing available to the Company as needed in the short term. Thinking about revenues ahead. Our current customers under contract now account for approximately $14 million to $16 million of annual revenue. The opportunities at the bottom of the funnel that Mary Louise mentioned are significant, if all are successfully converted, would represent approximately $15 million of additional revenue or approximately double the revenue from our current customers. Specifically, for Q2 2025, we anticipate revenues in the range of $2.2 million and $2.6 million or 8% to 22% sequential increase. Now, we will open up for questions. Thank you.
Operator:
Brandon LaVerne: Thank you, Jonathan, and thank you, everyone, for joining on our call today. Hope you have a great afternoon. Take care.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.